Operator: Good morning. My name is Jennifer, and I will be your conference facilitator today. At this time, I would like to welcome everyone to the Danaher Corporation Second Quarter 2013 Earnings Results Conference Call. [Operator Instructions] I would now like to turn the call over to Mr. Matt McGrew, Vice President of Investor Relations. Mr. McGrew, you may begin.
Matt R. McGrew: Good morning, everyone, and thanks for joining us. On the call today are Larry Culp, our President and Chief Executive Officer; and Dan Comas, our Executive Vice President and Chief Financial Officer. I'd like to point out that our earnings release, a slide presentation supplementing today's call, our second quarter Form 10-Q and the reconciling and other information required by SEC Regulation G relating to any non-GAAP financial measures provided during the call are all available in the Investor section on our website, www.danaher.com, under the heading Financial Information, Quarterly Earnings and will remain available following the call. The audio portion of this call will be archived on the Investor section of our website later today under the heading Investor Events and will remain archived until our next quarterly call. A replay of this call will also be available until July 25, 2013. The replay number is (888) 203-1112 in the U.S. and (719) 457-0820 internationally, and the confirmation code is 5527091. During the presentation, we will describe certain of the more significant factors that impacted year-over-year performance. Please refer to the supplemental materials and our second quarter Form 10-Q for additional factors that impacted year-over-year performance. All references in these remarks and accompanying presentation to earnings, revenues and other company-specific financial metrics relate only to the continuing operation of Danaher's business, unless otherwise noted. I'd also like to note that we'll be making some statements during the call that are forward-looking statements within the meaning of the federal securities laws, including statements regarding events or developments that we believe or anticipate will or may occur in the future. These forward-looking statements are subject to a number of risks and uncertainties, including those set forth in our SEC filings. It is possible that actual results might differ materially from any forward-looking statements that we make. These forward-looking statements speak only as of the date that they are made, and we do not assume any obligation to update any forward-looking statements, whether a result of new information, future events and developments or otherwise. With that, I'll turn the call over to Larry.
H. Lawrence Culp: Matt, thanks. Good morning, everyone. In the second quarter, better-than-anticipated core revenue growth and outstanding execution from our team led to strong earnings margin and cash flow performance. Core revenue growth of 2.5% was slightly higher than expected, led by Hach, Gilbarco, Beckman Coulter Diagnostics and our Life Sciences platform, all of which were up mid-single-digits. Investments we've made in innovation and go-to-market initiatives in the high-growth markets continue to drive growth and help us capture market share. The impact of the Danaher Business System and the quality of this growth were evident in the excellent year-over-year margin improvement in the quarter. Our gross margin improved by $140 million or 100 basis points and our core operating margin expanded 95 basis points. As we look to the second half, we intend to make additional investments aimed at share gains and margin expansion for 2014 and beyond. So with that as a backdrop, let me move to the details of the quarter. Today, we reported second quarter diluted net earnings per share of $0.87, a 3.5% increase compared to our diluted net earnings per share a year ago and representing another record quarter for Danaher. Excluding a $0.03 gain recognized in the prior year period, adjusted net earnings per share increased 7.5% year-over-year. Revenues increased 4% to $4.7 billion with core revenues up 2.5%. The impact of acquisitions increased revenues by 2%, while the negative impact of currency translation reduced sales by 0.5%. From a geographic perspective, high-growth markets grew high single-digits. In particular, we saw sequential improvements in Brazil and the Middle East, as each region was up more than 15% year-on-year. China saw low double-digit growth in the second quarter, led by our Life Sciences & Diagnostics and Dental segments, which grew in excess of 20%. In addition, our Water Quality platform in China grew at a double-digit rate for the second quarter in a row. Developed markets were up slightly with the U.S. and Japan up low single-digits and Western Europe down low single-digits. Our gross margin increased 100 basis points year-over-year to 52.7%, driven by both volume increases and prior year-over-year productivity improvements. This significant improvement has allowed us to increase our growth investments while still delivering excellent bottom line results. Our reported operating margin in the second quarter was essentially flat at 17.8% while core operating margin improved 95 basis points. The Danaher Business System continued to serve us well, helping to generate yet another quarter of solid cash flow performance. Second quarter operating cash flow was $899 million and free cash flow was $763 million. Our free cash to net income conversion ratio for the second quarter was 124%. We continue to find attractive bolt-on opportunities and closed over $300 million of acquisitions in the quarter, focused in our Environmental and Life Sciences & Diagnostics segments. Given our healthy balance sheet, we have more than $8 billion of potential M&A capacity available through 2014 to expand and strengthen our strategic growth platforms. Turning to our 5 operating segments. Test & Measurement core revenues increased 0.5%. Core operating margin decreased 30 basis points while our reported operating margin declined 60 basis points to 20.9%. In our instruments platform, core revenues declined low single-digits. Fluke's core revenues were flat with 10% growth in high-growth markets, offset by weak demand in most developed markets. However, we are encouraged by the mid-single-digit growth we saw in North American industrial instruments during the quarter. At Tektronix, core revenues declined low single-digits with growth rates in both developed and high-growth markets improving sequentially from the first quarter. Core revenues for our Communications platform grew low single-digits, led by strength in the high-growth markets, specifically the Middle East and Latin America. Across the platform, we've increased our R&D spending by approximately 15% year-to-date, focusing our new product development and innovation to address the expanding needs of our wireless and enterprise customers. At Fluke Networks, we unveiled the new product Versiv product family designed for copper and fiber certification during network installation. The DSX-5000 CableAnalyzer gives field technicians unmatched speed and efficiency in certifying performance in copper cables while the CertiFiber Pro provides the same certification capability for fiber networks. In Arbor Networks, demand for network security solutions remains very strong across all major geographies. During the quarter, we added over 50 new customers in both the enterprise and service provider markets, which include significant expansion orders at 2 large global financial institutions. As a testament to Arbor's innovation and leadership in network security, they were recently named the Best Overall Security Company during the Info Products Guide Awards at the RSA Conference. Turning to our Environmental segment. Revenues increased 8% in the quarter with core revenues increasing 4%. The segment core operating margin increased 70 basis points with reported operating margin essentially flat due primarily to the dilutive effect of recent acquisitions. Our Water Quality platform core revenues increased at a low single-digit rate. Hach grew mid-single-digits, driven by core lab and process instrumentation and mid-teens growth in service. We believe we are growing faster than the market. Geographically, the U.S. was up mid-single-digits in the quarter while China grew double-digits, driven by solid demand for drinking water projects. During the quarter, we launched several new products, including a value line of electrochem products designed to specifically for China. We also unveiled the 5500sc Silica Analyzer, which features predictive diagnostic software, allowing customers to avoid unplanned downtime caused by silica buildup on boilers and turbines in power gen stations. Gilbarco Veeder-Root's core revenues grew mid-single-digits, led by healthy demand across all major product lines in most major geographies. Sales in Asia and the Middle East were particularly robust, driven by large customer site upgrades for dispensers and payment solutions. We believe we are gaining share with our point-of-sale and payment products, both of which grew at mid-teens rates in the quarter. GVR recently completed the previously announced acquisition of Automated Fuel Systems Group, a leading provider of fuel management solutions to government, fleet and mining customers in South Africa. Moving over to Life Sciences & Diagnostics. Revenues increased 5.5% with core revenues up 5%. We saw outstanding margin performance with our core operating margin improving 180 basis points and our reported operating margin increasing 130 basis points to 14.4%. This strong margin performance occurred even with a double-digit increase in R&D expenses at Beckman Coulter Diagnostics, where we continue to ramp up our product development efforts. The diagnostics platform continued their solid performance with mid-single-digit core growth in the quarter. At Beckman, core sales increased at a mid-single-digit rate with growth in all major product categories. This quarter marks the second anniversary of the Beckman Coulter acquisition, and we are exceptionally pleased with the progress that's been made by the team around the world. We've seen low single-digit core growth or better for the last 5 quarters and the business is becoming more competitive each day. Over the last 8 quarters, we've made significant improvements in our internal capabilities, specifically addressing on-time delivery, service and product quality through improved design to ensure that we're serving our customers well. We've also made tremendous progress to enhance efficiency with second quarter operating margin expanding 150 basis points year-over-year. We've also made considerable progress on the regulatory front. For example, we recently received FDA 510(k) clearance for the troponin assay for use on our Access 2 system. This approval allows Beckman to offer troponin to new customers in the U.S. for the first time since 2010 and marks an important milestone for our customers, as well as the Beckman Coulter team. As Beckman enters its third year with Danaher, we are actively increasing growth investments in business, particularly in R&D, to boost new products vitality and ultimately, drive higher organic growth rates. At Radiometer, core sales were up at a high single-digit rate with growth in all major product lines. High-growth markets were up more than 20% in the quarter, led by China, which grew about 45%. Instrument placements were particularly strong in the quarter with blood gas up 25% and AQT up over 50%. As previously announced, Radiometer closed the acquisition of HemoCue, a leader in hemoglobin and glucose point-of-care testing. At Leica Biosystems, sales increased at a mid-single-digit rate, led advanced staining, which is up low-teens in the quarter. Most major geographies saw growth with particular strength in China, which grew at a high-teens rate. Further, our core histology business grew low single-digits year-over-year. And we are pleased to report that Leica Biosystems can be found in 100% of the top 50 cancer centers in America as recently ranked by U.S. News & World Report. Subsequent to quarter end, Leica Biosystems acquired Amsterdam-based Kreatech Diagnostics. Along with Leica's advanced staining instruments, Kreatech's probes and reagents enable customers to detect genetic aberrations that may lead to cancer and other diseases. Our Life Sciences platform core revenues increased at a mid-single-digit rate in the quarter. AB SCIEX core revenues were up mid-single-digits, led by robust growth in pharma and the applied markets, particularly food and environmental. The 6500, our high-end Triple Quad platform, continues to be very well received by customers globally in all major market segments and is expected to generate more than $100 million in revenue on an annualized basis. AB SCIEX recently launched its 3200MD CE-IVD series of mass spectrometers for clinical diagnostic use in Europe. This is an exciting achievement for AB SCIEX as the 3200MD expands their addressable market to include clinical care customers. And we look forward to leveraging channel synergies with our diagnostics platform to help drive growth of this largely previously focused product category from the research realm. Leica Microsystems core revenues were up mid-single-digits, led by double-digit growth in China, the Middle East and Japan. We continue to see solid demand for our confocal microscopy systems, which grew over 10% in the quarter. Demand for our SP8 modular confocal laser scanning microscope remains robust, growing at a mid -- growing at a high-teens rate. To expand our go-to market efforts in Latin America, we acquired Aotec, Leica's distribution partner for microscopy and histopathology solutions based in São Paulo, Brazil. Turning to Dental. Segment revenues grew 3% in the second quarter with core revenues up 2.5%. Core operating margin increased 90 basis points while reported operating margin expanded 90 basis points to 15.3%. Dental consumables core revenues grew mid-single-digits, led by sales of professional dental consumables across most major geographies. In addition, our implant business grew at a high-teens rate as they continue to take market share. Kerr recently launched the Demi Ultra curing light system, the industry's first Ultracapacitor-powered light curing system, which provides dentists with more efficient curing and eliminates the need for battery power. Ormco's Insignia Advanced Smile Design received the 2013 American Technology Award in Health & Medical Technologies from the TechAmerica Foundation. This award is presented annually to the product that most improves the delivery of health services. KaVo's core revenues were up low single-digits, driven by demand in China and other high-growth markets. Last quarter, we highlighted the new i-CAT Flex, which achieves a full 3D scan at lower radiation doses than traditional 2D Panoramic X-ray imagers. Reception in the market has been outstanding with the Flex receiving a best new product award at the Henry Schein National Sales Meeting and the 2013 Pride Institute award for best-in-class technology. In Industrial Technologies, total revenues increased 2% while core revenues declined 2.5% for the quarter. Both our reported and core operating margin increased 110 basis points with our reported operating margin at 23.5%. Our Motion businesses core revenues declined at a mid-teens rate with weakness in most major verticals. We've begun seeing signs of stabilization in North American distribution, which grew modestly both year-over-year and sequentially. As evidenced by strong profit performance, Motion continues to transition out of some of their lower-margin business. This transition will continue to impact core revenues, which are expected to remain negative in the second half of this year. Core revenues were up -- in Product Identification platform were up mid-single-digits with solid demand from our in-line variable printing technologies, as well as our packaging and color management solutions. Sales increased across most major geographies. Those of you who joined us last week in Chicago at our Investor Day saw firsthand the evolution of our Product ID platform from our core marking and coding businesses into a leading provider of integrated packaging solutions, spanning the entire consumer packaging value chain. I thought our team did a great job illustrating how we use strategy and DBS to establish and then build and grow a strategic platform. For those of you that weren't able to participate, I strongly encourage you to watch the replay available on our website. At Videojet, new product introductions have been an important driver of our share gains. In the quarter, we introduced the 1620 and 1650 lines of ultra high-speed printers capable of speeds 40% faster than the previous industry benchmark with minimal planned downtime. Also in the quarter, Procter & Gamble announced their adoption of Pantone's new cloud-based color management solution, PantoneLIVE, which improves operational efficiency throughout the packaging supply chain. This is the second major consumer packaged goods company to adopt PantoneLIVE, building on early momentum in the market. So to wrap up, we were very pleased with our second quarter results, better-than-anticipated core revenue growth and outstanding execution led to solid operational performance. We are initiating third quarter diluted net earnings per share guidance of $0.78 to $0.83, which assumes 2% to 3% core revenue growth. We are narrowing our full year 2013 adjusted diluted net earnings per share guidance to $3.37 to $3.42 from a previous range of $3.32 to $3.47. As we move into the second half of the year, we're maintaining a conservative macro outlook while staying confident in our ability to deliver solid operating margin expansion. We expect investments in innovation and the high-growth markets to continue to drive growth and share gains. Our earnings outperformance in the second quarter allows us to make additional high-impact growth investments and to fund productivity and efficiency initiatives that we believe will position us well for the balance of this year and beyond.
Matt R. McGrew: Thanks, Larry. Jennifer, that concludes the formal comments. We are now ready for some questions.
Operator: [Operator Instructions] And we'll take our first question from Scott Davis with Barclays Capital.
Scott R. Davis - Barclays Capital, Research Division: Let's talk a little bit about the investments you're making in the -- I mean, Larry, can you help us understand, what -- how much of this is driving growth versus restructuring and cutting costs? And I guess, the question, the obvious question here is that are you investing more money just because you're seeing or thinking there's going to be a reacceleration of growth? Or is it more focused on getting costs out ahead of continued weak -- relatively weak macro environment?
H. Lawrence Culp: Scott, I would say that operationally, this is really more of the same, consistent with the path we've been on in this slower-growth macro environment that we're operating in today. And frankly, I think we see ourselves working through going forward. So there's no macro call here to suggest we see an inflection point relative to things getting materially better. And hence, we want to be ready for that. I think that as we've seen through the first half of this year, we've been well served, having in the past positioned ourselves not only with the step-up in R&D to drive new product launches, but also our step-up particularly in the high-growth markets to go grab market share where we can. And in turn, to make sure we're being smart about our cost structure, we can make those investments and drive the margin expansion and the earnings growth that you've seen. So what we're really talking about here in terms of taking the beat and putting it back into the business, if you will, in the second half is really a combination of stepping up those growth investments, both in R&D and sales and marketing, as well as in those productivity efforts that you've typically seen us put through in the second half. And we flagged last year on that point or the end of last year that we probably had dialed in about $70 million this year in the back half to do that. We're going to step that up here, certainly as we look to the second half. But again, it's really a balanced approach to make sure we're making the investments for share gains and margin expansion as we work our way through the second half of this year.
Scott R. Davis - Barclays Capital, Research Division: And as a follow-up to that, Larry, when you think about the step-up you've had in R&D, I mean, you're already fairly -- you've always been a fairly large investor in R&D, so it's not as if you've underinvested in the past. But the step-up in 2013 versus '12, do you anticipate this being an ongoing trend and then you have another step-up in '14? Or is this reset the bar and you're kind of holding in this level versus sales longer-term? And I have just a quick follow-up to that, just in -- conceptually, every company we cover is raising R&D as a percent of sales, and I think even in the medical world that's happening. Has this become a little bit of a tax, if you will, that it just costs more to drive incremental growth and you don't really get that much net benefit because everybody's investing more? It's a bit of an arms race. Or is it really some differentiation that you think can occur with that added investment?
Daniel L. Comas: Scott, it's Dan. As we look back at Q2, we really saw the benefit across a number of the businesses in the step-up in R&D. So we talked about Hach, Gilbarco, PID, all businesses where we think we took share in the quarter. Their new product revenues improved sequentially 50% Q1 to Q2. And we think that was a big driver of the share gains. So I think we are seeing -- we're not seeing it everywhere, but some of this targeted step-up we've made in R&D, we are seeing the payback for that. And I think as long as we continue to see that and we're taking share, our bias would be to spend more.
Scott R. Davis - Barclays Capital, Research Division: Sure. I mean that's [ph] the crux of my question, right. I mean, if you can gain share, it's definitely worth it. If it's just grow in line with the market, but you have to spend more, then it starts to -- industry structure starts come into the question, I guess.
H. Lawrence Culp: And Scott, to the structural question, I would just add, I think Dan's spot-on there, that if you were in the sessions with us as we talked to the businesses, the tone is really fundamentally an offensive one. We see opportunities to do things no one else does. We see opportunities to help a customer in a way that maybe we uniquely can. And that really drives the agenda, the budget in any step-up that you see. There's really not a lot of examples, where we're sitting there, saying, "Gosh, there's catch-up to be made, a tax, as you say, to be paid." So I think that qualitatively, combined with the quantitative market share impact that we're seeing, suggests these are good investments for us. But we'll continue to be prudent to make sure we're getting those returns as we put this additional money in.
Operator: We'll go next to Steve Tusa with JPMorgan.
Charles Stephen Tusa - JP Morgan Chase & Co, Research Division: Just on the second quarter, I understand that it's kind of a similar revenue seasonality, if I'm kind of doing the math correct, on the core as last year. Is that right, first of all? Just a sequential decline?
Daniel L. Comas: Yes. So we were down -- I mean, last year, we were down about $140 million Q2 to Q3. We probably have become a little bit more seasonal, a little weaker in Q3 given some of the acquisitions we've done over the last couple of years. I don't think we'll be down $140 million sequentially, but maybe we're down, call it, $100 million.
Charles Stephen Tusa - JP Morgan Chase & Co, Research Division: Okay. I mean, when I look at, like Beckman, for example, I think it was pretty -- if you go back historically with their business, it was kind of flat to up seasonally. And then last year, I think I thought you had kind of the initial dropoff in some of the more cyclical businesses, as well as that Life Sciences, call it, I don't know, an air pocket or whatever you want to call it on the product side. So I guess, that's the difference between the $100 million and $140 million is -- I'm just struggling to -- this is probably last year was probably your biggest sequential decline, and I'm just kind of struggling to figure out what's changed here relative to, I don't know, 10 years of history.
Daniel L. Comas: Well, I think part of the history is a number of years where we've done Q2 acquisitions. So the organic decline we've had historically over the last 5 years, Q2 to Q3 is larger than our printed numbers as an acquisition element. So the seasonality was more severe last year but not -- less out of line than the numbers would suggest because of M&A.
Charles Stephen Tusa - JP Morgan Chase & Co, Research Division: Okay. Is there any change in the level of restructuring this year as well? Like I think you talked about a couple of pennies of investment in the third quarter but I guess, just the fourth quarter.
H. Lawrence Culp: Yes. That's what I was trying to suggest in response to Scott's question, Steve. So we're stepping up both the growth investments and the productivity moves.
Operator: We'll go next to Shannon O'Callaghan with Nomura.
Shannon O'Callaghan - Nomura Securities Co. Ltd., Research Division: Larry, interested on the somewhat better North American industrial. I mean, you talked about the distribution piece. Anymore color on that? I mean, was it a restock or pickup in end demand or anything you could make out of it?
H. Lawrence Culp: I mean, I think we flagged that both at Fluke and in Motion. I'm not sure we're ready to extrapolate too much from that at least at this point. I think we were encouraged to see Fluke improve sequentially in that regard. But I think we need to see this play out for another quarter or so to think we've got legs there. There was some inventory movement at Motion, which is part of what we saw there. But again, I think it's early signs, but we'll see how the third quarter plays out.
Shannon O'Callaghan - Nomura Securities Co. Ltd., Research Division: And how about on the tax side of things, I mean, any movement in either direction in terms of customers' sort of attitudes around equipment spending on that side?
H. Lawrence Culp: No. I think, clearly, sequentially things improved, but we are still negative from a core perspective. I think we've got the potential to be positive in the second half in large part because of the comps. But as you know, I mean, one geography in particular that we're watching closely, particularly in T&M, on the instrument side is China. China has been a real struggle, particularly as the export base has struggled there. The comps help us probably more than necessarily the underlying demand does. But I think that combination should help us get positive there in the second half but not wildly or overly so.
Shannon O'Callaghan - Nomura Securities Co. Ltd., Research Division: So you haven't seen any sort of significant change in behavior yet?
H. Lawrence Culp: Not yet. We're looking. Believe me, we're looking.
Operator: We'll go next to Nigel Coe with Morgan Stanley.
Nigel Coe - Morgan Stanley, Research Division: So just a quick follow-on to some previous questions. So Dan, I think you've referred to the step-up in R&D. Obviously, it makes sense if you're getting the payback. But the 40 bps in the quarter, is that indicative of the kind of step-up you expect in the back half of the year?
Daniel L. Comas: In that range, Nigel.
Nigel Coe - Morgan Stanley, Research Division: Okay. And then Larry, the restructuring expense, you mentioned a couple of cents in 2Q -- in 3Q. But the 4Q, I mean, so how do we think about that? Do you have a number in mind? Or is that number fungible depending on how the back half plays out?
Daniel L. Comas: Nigel, I think we're still a little fluid in that regard. As Larry highlighted, we talked about $70 million in our plan in the second half. That will be more fourth quarter than the third quarter, that's pretty typical. But we're going to spend more than that $70 million here. And we're still sort of figuring that out. We're trying to embed that in our guidance.
Nigel Coe - Morgan Stanley, Research Division: But more than $30 million in the fourth quarter rather than the second half?
Daniel L. Comas: Yes. Well, it tends to be more Q4-focused, yes. There'll be some in Q3, but it will be more biased to Q4.
Nigel Coe - Morgan Stanley, Research Division: And then switching to the performance at Beckman. Obviously, very encouraging to see mid-single-digit growth so early. Can you maybe just give us a little bit more color in terms of what's driving that? Is it pull-up [ph] in attrition? Are we seeing more gross adds? Any help there would be interesting.
H. Lawrence Culp: Nigel, it's really not any one thing. But I think the program that we've been working to improve our retention and win rates in North America, I think, our step-up in terms of the investments in the high-growth markets, which really have been driving most of the growth at Beckman. And certainly, as we fix the quality issues, witness troponin and others, but also bring on some additional new products, every little bit helps, right? So to see a mid-single-digit quarter here isn't necessarily in any way a declaration of victory. But having been out there here in the last couple of weeks, I just think we've got a lot of progress and momentum building in the commercial execution and new product development, which bodes well for the business. But again, as you've heard me say, there's still a lot of work to do, but we're highly confident we're going to continue to improve Beckman and make that as good as any Danaher business that we have.
Nigel Coe - Morgan Stanley, Research Division: And how do you see [ph] the upside of Beckman for the second half of the year? Have you assumed that great quarter but let's not assume it continues? Or have you rolled forward some of that upside in the second half of the year?
Daniel L. Comas: Nigel, I think we're still working with a low single-digit focus in the second half here but clearly, a little bit more encouraged given what we've seen not only the numbers we printed, but just the general tone of the business.
Operator: We'll go next to Steve Winoker with Sanford Bernstein.
Steven E. Winoker - Sanford C. Bernstein & Co., LLC., Research Division: Just first question. The T&M core margin decline of 30 basis points, was all of that due to operating leverage? Or what other -- any other dynamics in that?
H. Lawrence Culp: Steve, it's really a combination of 2 things. One, as we noted, instruments is down, instruments is the higher-margin piece of that segment so that hurts. And communications is an area, where we are stepping up our growth investments. Clearly, not the best growth quarter they've ever registered. But as you know, probably one of our best growth businesses here in the last couple of years with a tremendous amount of runway, given their focus in mobility, their opportunities in security, and certainly, building up more of a position with the enterprise customer base. So it's really the instruments volume and the R&D step-up, really the OpEx step-up and comms which create that pinch.
Steven E. Winoker - Sanford C. Bernstein & Co., LLC., Research Division: Okay. And then talked about Beckman a bunch. But if you step back now 2 years later, how are the financials compared to your original expectations both for ROIC and accretion at this point now?
Daniel L. Comas: Steve, we're right on track, probably the revenue is a little better. Margins are ahead of where we thought they would be. We thought we'd have $250 million of costs by the end of this year. We're north of $300 million. So a little ahead of the margins and a little bit ahead on the revenue line as well.
Steven E. Winoker - Sanford C. Bernstein & Co., LLC., Research Division: Okay. And maybe just a little bit of overarching commentary on any changes in the M&A environment is always helpful on these calls.
H. Lawrence Culp: Yes. I don't think we've really seen a change, Steve, in the last 90 days. I think we're encouraged and fundamentally optimistic about our ability to deploy the capacity that we have, the $8 billion or so that you heard us talk about in terms of the next couple of years. And clearly, valuations are up. That means we can't buy every company we might want to buy, but that's never our MO, right? We're looking for great fits where we can add value, where we can generate a return for our shareholders. And the silver lining in an environment like this, particularly for a strategic, well-capitalized buyer like ourselves, is you can have high-quality conversations with high-quality companies. We're doing just that. So we continue to, I think, have that level of optimism of confidence that we will smartly deploy that capital to help build out the businesses as we move forward here. But again, not a dramatic sea change 90 days on.
Operator: We'll go next to Jeff Sprague with Vertical Partners.
Jeffrey T. Sprague - Vertical Research Partners, LLC: I'm wondering if we could just try to put a little finer point on some of this incremental spending. Dan, I guess, you made it pretty clear the $70 million is in flux, you don't know where it goes. But I guess, first point, would we be talking about it if it's only $5 million or $10 million?
Daniel L. Comas: No, we would not be. So if it was $10 million, $15 million more, we wouldn't be talking about it. So maybe it's in that $90 million, $100 million range.
Jeffrey T. Sprague - Vertical Research Partners, LLC: Okay. And then just trying to get a head around the incremental R&D and SG&A growth spending, you gave the basis points in R&D to Nigel. But relative to what you were thinking, how much is that changing? We heard the story of 170 new marketing people just at Videojet alone last week. It seems like there is a lot going on. But was that all kind of baked in the plan? Or is there a real increase there, too?
H. Lawrence Culp: In terms of what we're talking about for the second half, there are real increases both in R&D and some on the sales and marketing side. We've mentioned the high-growth markets. You flagged some of the marketing initiatives there as well, Jeff, fortunately saw in Wood Dale. It's really a step-up. Because as we go through the year, we obviously are reading and reacting. We're learning, we're developing skills. And we don't want to be too static in those growth investments. So we really -- when you hear us talk about dynamic resource allocation, we're really trying in real time to fund the opportunities as quickly as we can as opposed to being slaved to an annual budget.
Jeffrey T. Sprague - Vertical Research Partners, LLC: Okay. So even there, we're not talking about single-digit millions then, we're probably talking about 5s and 10s sort of thing?
Daniel L. Comas: That's probably correct.
H. Lawrence Culp: That's fair.
Jeffrey T. Sprague - Vertical Research Partners, LLC: Yes. And then just back to kind of Q3, I guess, the whole sequential discussion. But on a year-over-year basis, the comp is really easy against obviously what was a pretty disappointing Q3 last year. Why wouldn't you accelerate a little bit against that, just a 0.8% organic last year?
H. Lawrence Culp: Right. Well, there's no question, Jeff, there's an easier comp in the third. I think what we're trying to share with you today is in essence what we're seeing customers and markets saying and doing today, right? So as we work through what's happening at point of sales, we talk to our distribution partners. As we go through our sales pipelines with our direct business, as we take a pulse of both the headwinds and the tailwinds out there externally, I think we come up with a top line figure that suggests that on a core basis, we're likely to be in that 2% to 3% range here in the third quarter. It's really as simple and as straightforward as that.
Jeffrey T. Sprague - Vertical Research Partners, LLC: Great. And then just finally, can you size in basis points or dollars, whatever is easier, just how significant the Motion headwind is just from kind of unwinding the lower-margin project -- products?
H. Lawrence Culp: There's probably, call it, 400 or 500 basis points of core revenue headwind within Motion as a result of that, I think, appropriate and smart transitioning out of some of that lower-margin business. So we take the core revenue hit, but you clearly see the resilience of those Motion revenues as the positive offset, a trade we'll take any day.
Daniel L. Comas: The Motion margin.
H. Lawrence Culp: Yes, excuse me.
Operator: We'll go next to Jon Groberg with Macquarie Capital.
Jonathan P. Groberg - Macquarie Research: So you've talked a bunch about Beckman, Larry. On Leica, I just remembered, last quarter in Leica Bio, you had the control issue, Europe distribution change, worried of potentially new competitor coming to market. Can you just give a little bit of an update on each of those issues and kind of where you stand on Leica Bio in the quarter and for the rest of the year?
H. Lawrence Culp: Sure. I think in terms of the control issue for the broader audience, we have seen in the U.S. some policy guidance changes, which has negatively impacted some of our underlying volume in the business. I think that is modest and kind of working its way through the business. Our European distribution change there continues. But I think we certainly had a better quarter in that regard than we did in the first and continue to believe strategically that we're heading in the right direction and financially we should see less headwind as a result. And you mentioned competition. I have no idea who you're thinking of there, Jon, but we haven't really seen any material competitive pressure change here of late and continue to believe that, particularly in advanced staining, we saw very strong underlying growth vis-à-vis the market.
Jonathan P. Groberg - Macquarie Research: So would you expect kind of what you saw in the second quarter here to continue in the second half for Leica Bio?
H. Lawrence Culp: We would -- we certainly have that expectation with LBS as we drive into the second half.
Jonathan P. Groberg - Macquarie Research: Okay. And then just one more. I did the math on the core diagnostics of Beckman. It looks like you said in your Q, I think you said North America and Europe were actually down low single. So it's looking like high growth and probably China is still kind of plus 20%. Anything at all you're seeing there, given what's going on in China that makes you concerned that, that could slow some? Just maybe an update geographically on that business.
Daniel L. Comas: Yes, Jon. I think it's hard not to be a little bit cautious on that front, just the number of quarters we put back-to-back-to-back was 20%. And China is not [ph] part of the high-growth market. So we think they'll continue to be very good. Could there be some tempering? I think that's a possibility. And while Europe and the U.S. were down, they were down less than they were the last couple of quarters. So hopefully, we can get a little bit of improvement in the developed markets because I think there's some likelihood we'll have very good growth in the high-growth markets. But it's going to be probably hard to sustain at these levels.
Jonathan P. Groberg - Macquarie Research: So do you think North America and Europe could be getting to a point where they actually turn positive in the next few quarters here, given some of the successes that you've talked about at Beckman?
Daniel L. Comas: We are not yet prepared to forecast, but we like the trend line.
Operator: We'll go next to Julian Mitchell with Credit Suisse.
Julian Mitchell - Crédit Suisse AG, Research Division: Just on the operating cash flow, it was down 2% in Q1, it was down 14% in Q2. And you talked in the Q about the timing of customer deposits in T&M and so on in the network comm side. Can you maybe talk a little bit about how quickly you expect the operating cash flow to normalize? And what's driven that customer deposits issue?
Daniel L. Comas: Sure. Julian, there are probably 3 factors driving the first half cash flow being down slightly year-on-year. I'll come back to the customer deposits in the third point. One of which is just the timing of tax payments. We've had relatively higher tax payments here in the first half. That will normalize through the year. The second element is we have slightly higher inventory levels. Part of that is related to a number of new product launches. We talked about some of the benefits we're seeing at Hach, Gilbarco, Product ID. Again, we expect the inventory levels to normalize through the year. And then finally, customer deposits. Last year on some large projects, we were able to get some upfront payments. That will probably not normalize through the year so that will be a slight headwind, but these others 2 factors will help. And you should see an acceleration back to more normalized level of cash flow through the balance of the year.
Julian Mitchell - Crédit Suisse AG, Research Division: Okay. And then within Environmental, you talked a bit about municipal spending being down. Not a surprise, but I guess, any sense on the pace of the declines or how that's -- how you think that will trend as we go through the year?
Daniel L. Comas: Well, it was a little bit bifurcated. So the lower-ticket municipal spending actually got sequentially better Q1 to Q2. We're probably a little cautious of that because the governments have year ends of June 30. So we may have seen a little bit of benefit. But it's okay. It's not great, but again probably a little better than what we saw in Q1, continue to see the high ticket stuff to be challenging. And I don't think we're calling for a turn in that part of the business.
H. Lawrence Culp: And that comp is really focused, I think, in the U.S. and to a degree, in Europe. We're pleased with the China growth that we saw for now 2 quarters here coming in no small part from the muni side, which had been a bit more sluggish for us over the last couple of years.
Julian Mitchell - Crédit Suisse AG, Research Division: Okay, great. And then just lastly on Europe, there has been some hope around slightly higher PMIs and so on. It doesn't sound like you have seen anything at all around any kind of inflection point in any end market in Europe. Is that fair or...
Daniel L. Comas: Julian, we were down a point or 2 in Europe, which has been comparable to maybe slightly better than what we've been seeing. We've seen a few of our businesses -- PID had a better quarter in Europe. But I'd say generally speaking, we're not seeing much of any turn here.
Operator: We'll go next to Brandon Couillard with Jefferies.
S. Brandon Couillard - Jefferies & Company, Inc., Research Division: Larry, Dan, could you give us a view around the book-to-bill in T&M in the quarter? And how would you expect that business to trend in the second half, particularly for Tek instruments? And to what degree are you beginning to see any change in demand trends out of China?
H. Lawrence Culp: Yes. I mean, T&M book-to-bill was flat. I think as we look at Tek for the second half and really instruments more broadly, I think we have the opportunity to grow, call it, low singles, if all goes well. China is really important. China is important both at Tek and at Fluke. And as I mentioned earlier, we've seen softness, prolonged softness both with the export base, which we largely serve at Tek, and frankly in a host of other verticals that deal with domestic infrastructure, principally at Fluke. But as we have gone through those reviews recently with the teams, again in part due to the comps, in part because some of our own execution opportunities, we think we can go positive here in the second half and we're going to be working hard to do that. But China will be an important swing factor for that instruments platform, no doubt.
S. Brandon Couillard - Jefferies & Company, Inc., Research Division: And then Dan, in terms of the overall core revenue growth experienced in the quarter, can you give us a breakdown between equipment and consumables?
Daniel L. Comas: Sure. The consumables stayed right in that -- consumables and aftermarkets stayed right in that 3% to 4% range, all up. And equipment and instruments were a little better than Q1, so we were essentially flat in Q1 and we were up 1% to 2%. Again, we talked about some of that Gilbarco, some of the Life Sciences businesses benefiting to that number.
Operator: We'll go next to Isaac Ro with Goldman Sachs.
Isaac Ro - Goldman Sachs Group Inc., Research Division: So just on Industrial Tech, wanted to put your comments on Motion in context to that core growth target, 0% to 3%, you put out last December. You guys trended a little bit lower than that in the first half. So I just want to make sure I understand what's embedded in your assumptions for the back half of the year.
Daniel L. Comas: In the back half, we're looking at Industrial Tech to be flat to slightly down in the third quarter. The biggest driver of that would be Motion, which we expect to be down high single-digits. Most of that [indiscernible] getting out of some of this very low-margin business. And then the fourth quarter, we'd expect a sequential improvement from that.
Isaac Ro - Goldman Sachs Group Inc., Research Division: Got it. Okay, that makes sense. And then just in China maybe qualitatively, we touched on that issue a couple of different ways here. But I do want to spend a minute with regards to the nature of your customers in China, specifically with regards to capacity utilization. I mean, I think we all know a lot of the growth in China has been driven by success in investment. And I think one thing that's harder for us to read is sort of what your customers' capacity utilization looks like on your products over there just qualitatively. Can you maybe comment on that and just how think about what your customers' underlying demand looks like just given the current environment there?
H. Lawrence Culp: Isaac, I admittedly can't give you a figure as to our diagnostics customers, our Chinese diagnostics customers' utilization of our installed base over there. But I would say, as you might anticipate, it's higher, closer to the coast. Those new installs that have gone in are ramping. But there's probably very few places outside of the major coastal cities where our installed base is anywhere close to capacity. So we're proud to be part of this health care initiative in China. And certainly, as that installed base is utilized more actively in the delivery of enhanced care, that will be good for those patients and it will be good business for us.
Operator: We'll go next to John Inch with Deutsche Bank.
John G. Inch - Deutsche Bank AG, Research Division: Troponin, is that going to be significant to growth in the segment? Or is it -- like when does that kick in, do you guys think?
H. Lawrence Culp: Well, I -- those are 2 different questions, John. I think it's kicking in now that we have that 510(k) approval. And frankly, it's kicking in not only in terms of the resumption of being able to sell that product, but it's another box that's checked in terms of the commitments we made to not only our regulators, but our customers, which helps the overall business. I think we've tried to downplay the specific quantitative financial impact, John, of getting those assays back on the market just because largely I think that was overdone. I think this was more a reputational issue. And as we've gone through this hoop and others, I think people understand that we're getting Beckman back in the shape that it once was in and will be again. And that helps us with retention, that helps us with new customer wins, not only here in the U.S., where this issue was most acute, but more broadly as well.
John G. Inch - Deutsche Bank AG, Research Division: Yes. No, Larry, I'm just wondering, is there a sort of a short-term pop-up, if you will, that maybe is significant to Beckman's results that you could see sort of near-term associated with troponin?
H. Lawrence Culp: I would say if there's any near-term pop, it would be muted and immaterial.
John G. Inch - Deutsche Bank AG, Research Division: Okay. So that makes sense. Can I ask you about just maybe, Dan, is where these pricing trends perhaps juxtaposed with some declining raws, how are you guys sort of seeing that across your portfolio or, say, across significant differences in geographies if anything is noteworthy?
Daniel L. Comas: John, I just probably have a top level point of view. Our prices remained about 70 basis points the last 2, 3 quarters. Again, getting it on the consumables and the aftermarket, relatively flat on the equipment, on the instruments. So part of that 100 basis points of margin improvement is the cost actions we took last year. But clearly, we're seeing some price-cost benefit right now. Not getting a lot of price, getting a little bit of price and seeing some benefit on the cost side.
John G. Inch - Deutsche Bank AG, Research Division: Are there any discernible differences, Dan, in terms of pricing trend sequentially that would be...
Daniel L. Comas: No. I mean, we did say this started a couple of quarters ago that it got tougher to get price on equipment and instruments. And we went from maybe slightly positive to kind of flattish, slightly negative price but probably overall flattish instruments and equipments. And that has stayed relatively steady here at least through the second quarter.
John G. Inch - Deutsche Bank AG, Research Division: Yes. Okay, that's helpful. And just lastly, Larry, as you think about emerging markets, and you guys obviously are doing extremely well in China, part of the playbook, I think, had been to sort of broaden that success into the Indias and Latin Americas of the world. But clearly, the world looks perhaps different today as it did even a year ago in terms of the run rate for those markets. How are you, Danaher, strategically thinking about that? And why not maybe go for even more penetration in China if some of these markets around the world, maybe with the exception of the Middle East, look like they could be significantly more challenged in the coming few years in terms of realizing growth rates?
H. Lawrence Culp: Well, I think strategically, John, as you rightly point out, and you know this as well as anyone, what we try to do is build on our China-first strategy the last couple of years and taking the successes we've had and learnings we've taken to all the other high-growth regions of the world. I think the evidence that we're having good traction in that regard for all the examples peppered through our prepared remarks in terms of the successes we're having in the Middle East, what we're seeing in Brazil, Eastern Europe, right on down the line. India has been a little softer for us this year, to be sure. Latin America, in part because of a couple of tough comps, was tough in the second quarter. But that basket, which is no longer a China-only basket, was up, what, high singles here. I think we're mindful of the headlines relative to that basket as we think about the second half. I think that's part of our conservative posture on the macro. But strategically, you hit the point. These markets may slow in their overall growth, but they're still going to be the best game in town and the penetration levels of most of our products in these parts of the world are still pretty modest. So you pick your market, take 200, take 500 basis points of growth off the top, yes, that will define how much investment monies we have to put into play. But that underlying growth, our penetration opportunities to grow in excess of those market rates still makes those spaces, those places incredibly important targets for us. And that's the way we're operating.
Operator: And we'll take our final question from Deane Dray with Citi.
Deane M. Dray - Citigroup Inc, Research Division: We covered a lot of ground here already, and maybe just some closing comments regarding guidance. And Larry, last quarter, you had some specific commentary about having more of a midpoint bias to earnings guidance. Now you put up a solid second quarter. You're playing a little bit more offense and making some growth investments. So how would you characterize that bias today? And then same question for core revenue growth for the second half.
H. Lawrence Culp: Yes. I think that what we've done here, Deane, with the update on guidance is really stay true to that midpoint mindset that you heard me express back on the first quarter call. So being at the halfway point here, have a little bit more clarity as to the puts and takes, it doesn't really change our outlook materially in that regard and we thought we can tighten up the guidance accordingly. I really think it's that simple. In terms of the core outlook, I think we're looking at a low single-digit environment here in the second half. We've quantified that as 2% to 3% as best we can figure here for the third quarter. But in essence, I think what we saw in the second quarter is on balance likely what we're dealing with here in the second half. We wish it were otherwise, but it is what it is and we're going to outperform accordingly.
Operator: At this time, I would like to turn the call back over to Matt McGrew for any additional or closing remarks.
Matt R. McGrew: Well, thanks for joining us, everybody. We'll be around all day for follow-ups.
Operator: That does conclude today's conference. Thank you for your participation.